Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2017 Results Conference Call for Buenaventura. All lines have been placed on a listen-only mode and the floor will be open for your questions and comments following the presentation. At this time, it is my pleasure to turn the floor over to your host, Barbara Cano with MBS Value Partners.
Barbara Cano: Thanks, Julie. Good morning and welcome, everyone. Presenting on the call today is Mr. Victor Gobitz, Chief Executive Officer. Also, present and available for your questions are Mr. Carlos Galvez, Chief Financial Officer; Mr. Gonzalo Eyzaguirre, Chief Operating Officer; and Mr. Raúl Benavides, VP of Business Development. If you have not yet received a copy of the earnings release, please visit www.buenaventura.com, where a webcast presentation is also available to accompany today's discussion. Should you need any assistance at all, please contact MBS Value Partners in New York at 646-452-2334. Before we begin, I'd like to remind you that this call will include certain forward-looking statements. These statements relate to expectations, beliefs, projections, trends and other matters that are not historical facts, and are therefore subject to the risks and uncertainties that might affect future events or results. Descriptions of these risks are set forth in the company's regulatory filings. Statements made on this conference call should be considered together with cautionary statements and other information contained within the company's earnings release dated October 27, as well as the information contained within the company's most recent periodic reports filed with the BVL. With that, I will now turn the call over to Mr. Victor Gobitz, Chief Executive Officer. Mr. Gobitz, please go ahead.
Victor Esteban Gobitz Colchado: Good morning to all and thank you for attending this conference call. We are pleased to present this third quarter results of Compañía de Minas Buenaventura. We have prepared a short PowerPoint presentation, which is available in our webpage. Moving on to Slide 3, third quarter highlights were as follows. Number one, in this third quarter EBITDA from our direct operation was $118.4 million, which is an increase of 41%, compared to the same period a year ago. Number two, Tambomayo our newest goldmine achieved full commercial production in August. And since then has performed well. And it's worth to mention that in Tambomayo, Tambomayo obtained positive cash flow during this third quarter. Number three, El Brocal reported $31.4 million of EBITDA for the third quarter and an accumulated EBITDA of $91 million in the last 12 months, a remarkable achievement. Number four, the debottlenecking program for our underground mines is in progress and results expected to be seen gradually during 2018 and 2019. Number five, at Yanacocha the Quecher Main project has been approved. First production is expected in early 2019 and extends life of mine of Yanacocha operation to 2027. Number five, Cerro Verde, let me put that case in context. Cerro Verde started operations with copper oxides, which needed an SX/EW processing plant. And later in the same ore deposit, Cerro Verde is covered and develop a profitable business case for a portion of copper sulfides, which needed a floatation processing plant. Cerro Verde signed an initial tax stability agreement with the Peruvian government for a period of 1998 to 2013. Cerro Verde contested royalty assessment from the Peruvian tax authority for a period beginning December 2006 on the grounds that they were exempt under the 1998 Stability Agreement. In October of this year, the Peruvian Supreme Court issued a ruling on the 2008 assessments that was adverse to Cerro Verde's position. As a result, Cerro Verde registered pre-tax charges of $376.6 million in this third quarter for prior assessment and potential royalty and related assessment for December 2006 to December 2013. In other words, assuming that ruling for the outer years we'll go against it as well. Cerro Verde has paid under protest $135 million through September 30. This known recurrent spend affected Cerro Verde's financial figures as follows, in terms of EBITDA by $226.1 million and in terms of net income by $376.6 million. And due to these one-off events, Buenaventura's adjusted EBITDA was reduced by $44.3 million. And Buenaventura's net income decreased by $73.7 million. Finally, Cerro Verde has signed a new stability agreement, which is currently in effect for a period 2014-2029. The company has been paying royalty under this agreement. And last highlight and number seven, Buenaventura's board has approved a dividend payment of $0.03 for outstanding shares to be paid on November 30. Moving on to Slide 4, financial highlights, total revenues in the third quarter were $369 million, which is 37% higher in comparison to a year-ago. EBITDA from our direct operation was $118 million, which is 41% higher in comparison to a year-ago. EBITDA including our affiliates was $181 million, which is 34% higher in comparison to a year-ago. And our net income in this third quarter was negative $12 million due to Cerro Verde´s case. Moving on to Slide 5, we are showing our strategic map, where we use, as usual, the capital B from the logo of Buenaventura, as a visual index for the following slides. Here, we'd like to point out in the right part of the slide at the ratio of net debt to EBITDA has been reduced to 1.5 times, it's previous value in the second quarter was 1.9 times. Moving on to Slide 6, attributable production. In terms of total gold production in this third quarter, it was 177,000 ounces, which is 4% lower in comparison to a year-ago. However, in terms of our direct operation we produced 150,000 ounces, which is 24% higher in comparison to a year-ago, explained by a new production coming from Tambomayo. In terms of silver production in this third quarter it was 6.9 million ounces, which is 13% higher in comparison to a year-ago. In terms of copper production, it was 32,000 metric tons, which is 7% higher in comparison to a year-ago. In terms of zinc production, it was 13,000 metric tons, which is equal to the production obtained a year-ago. Moving on to Slide 7, you can see the consolidated volume sold from our direct operations, where the significant increase in the case of gold is explained by a new production coming from Tambomayo. And in the case of silver, it is explained by the new production coming from Tambomayo, and also for the silver grade coming from El Brocal. Moving on to Slide 8, the all-in sustaining costs from our direct operations in this third quarter was $879 per ounce of gold, which is 54% increase in comparison to a year-ago. The cost applicable to sales in this third quarter was for gold $733 per ounce, which is 9% higher than a year-ago. For silver $11.34 per ounce, which is 3% lower than a year-ago. For zinc $0.98 per pound, which is 7% higher than a year-ago. In the case of copper, the cash cost was $1.5 per pound, which is 15% higher in comparison to a year-ago. Moving on to Slide 9 and 10, you can see the volume of gold sold and the cost applicable to sales for each of the gold assets part of our portfolio. Moving on to Slide 11, you can see the volume of silver sold that cost applicable to sales for each of the silver assets part of our portfolio. Here, it's important to point out that our decision to combine and generate synergies between Uchucchacua and Mallay has increased our margin. Moving on to Slide 12, you can see the volume of copper and zinc sold as well as that cost applicable to sales for each of the assets part of our portfolio. Moving on to Slide 13, the debottlenecking program, which we are implementing on our biggest underground mine, is in progress, and results expected to be seen gradually during 2018 and 2019. The debottlenecking program is meant to improve efficiency, reduce costs, and also increase our capability of more aggressive mine development and exploration programs in order to generate more visibility of our ore reserves, in other words, to increase our life of mine. We reckon that an extended life of mine means better mining plans, a more steady and unpredictable level of production, resulting in a better market value for our underground mines. Moving on to Slide 14, thank you for your attention. I will hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And our first question comes from Carlos de Alba with Morgan Stanley. Carlos, state your question.
Carlos de Alba: Thank you very much, everyone. First, Victor, could you comment a little bit more on the debottlenecking program? Is there a schedule as to the progress that you expect to see throughout 2018 and 2019 in terms of different results? Also, if you can there give us what the expectations on either reserve increase or production increases or reduction in costs, either in total for the program or by operation that will be very useful. And then moving on to the total all-in sustaining cost, it was a significant increase versus last year. What are the expectations going forward? How do you see the different operations moving in terms of cost? And then it seems to me that there was a potential two non-recurrent or special events in the quarter. One is in El Brocal. The copper cast or cost applicable to sales increased due to an increase in minerals drifted in order to prepare Marcapunta to mine at a higher rate. Can you comment how much was it, what was the impact of this specifically, and how do you see the cost for El Brocal in the coming quarters? And then finally, there was a payment that had to be taken in order to reduce personnel related to the synergies that the company is trying to extract from El Brocal. Can you give us a little bit more color as to how much this payment was, and if it explains most of the - almost $5 million increase in G&A expenses? And then as a last note, Carlos, your retirement was announced, so I want to publicly thank you for all these years. It has been great working with you. And all the best in your retirement.
Victor Esteban Gobitz Colchado: Carlos, thank you for many questions. The first one is related to the debottlenecking program. Here is Gonzalo Eyzaguirre, our Vice President of Operations. But, in general terms, before that intervention of Gonzalo, let me say that according to our economic analysis, we intend to increase our annual EBITDA in the order of $60 million by the end of this program in 2019. But Gonzalo will add more the technical details on it.
Gonzalo Eyzaguirre Tejeda: Thank you, Victor. Yes, the idea of this debottlenecking program is to do it in three years. And we have a program with specific activities that we're going to do through these years. And as the chart set shows, it includes an activity which is the differential cutoff. That means to mine the highest margin first is - the idea is to concentrate or to have a plant which includes the blocks or the areas of the mine that have the highest grade, the highest margins that not necessarily means that have the highest grades. So that's something that we're doing using a new system that we're installing in all our operations. Ventilation, we're improving the ventilation to decrease the operating cost, specifically the energy cost. Hoist systems, we're improving the hoist system to decrease the cost of transportation. Backfill same thing, is to - right now we are using in some of our minds conventional saving and that is to change it to filling using our training. And the idea there is also to decrease cost in El Brocal. What we are going to do is to use the filling to mine the pillars that we have there, pillars that already have development and preparations. So, we're going to save cost also there. In mining method there is to increase the low-cost mining method in Uchucchacua, which is the bench and fill. And dilution control is to control the extra waste that we're sending to the process plant. And we're going to do that, having better control of the areas that we're mining. And we also have the process plant tuning, which is to increase our recoveries by modifying parts of the plant in Tambomayo and also in El Brocal. The last one is the integrated mining contracts. What we are going to do there is right now we have several contractors in each operation. The idea is to have bigger contractors with better management of the operations that will give us a better control of what we are doing in each operation and also reducing cost by having less back-office in each of the contract that we have. So thus, those are the details of the debottlenecking program. And as Victor said, we are planning to have a saving in every year. In 2018, what we expect to have is at least - sorry, in total around $20 million; in 2019, we'll be around $20 million, $23 million; and in 2020, it would be around more or less $30 million to $40 million. Those are the numbers that we are managing right now. And the investment that we are going to have there would be around $10 million to $50 million a year. That's something that - this is not really an additional investment. It's - what we are doing is doing part of the work that was postponed in the past and that is to do it the following years, that's the key here.
Victor Esteban Gobitz Colchado: Yeah, let me just add, Carlos, that summary, that our full potential, the full potential of this program is in the order of $50 million that we expect to achieve by the end of 2019. So, your other three questions were more related to our financial figures. The first one was related to the all-in sustaining cost and the development cost in underground mine of Marcapunta, El Brocal and also the synergies. And I think that Carlos will be the key person to answer these three questions.
Carlos Galvez: Yeah, Carlos, regarding the all-in sustaining cost, we're impacted mostly in our all-in sustaining cost this quarter was the trimming charges that come from El Brocal in - because we have certain contract that was used during this quarter that has an escalator, that was activated for these higher prices. So, this is reported and accounted as a part of the costs. And so, the byproduct query attributable to these all-in sustaining cost calculus has been diminished due to this impact. [So, to be short,] [ph] to the extent that we are going to complete the contract will be reduced. As it was announced in the past, we've negotiated that we obtain additional buyers, and the purchasers, smelters in the Asian area of the world, that will for me ask to have lower trimming charges and lower escalator. So, this will be much better for the future. Unfortunately, I cannot share final numbers, due to this, we'll be consumed gradually for the future. But this quarter was impacted by this, and it has to do with the cost applicable to sales at El Brocal. On the other hand, we have invested in the development of the Tunnel Esperanza, and that is the infrastructure that will permit - the connection that permitted, the connection between Marcapunta North and South. And this will help us to reduce the haulage cost inside the mine, because an important percentage of our copper production will be taken out of the mine by using this infrastructure, about 50-50 by - to the southern part and 50% to the northern part. And so, this is something that will contribute the most. In the other operations, the pro forma has been well, not only in Orcopampa, Coimolache, Uchucchacua and the other operations. So, we feel very good we're having very good results, and thank you for your good desires for my retirement.
Carlos de Alba: Thanks.
Operator: Our next question comes from John Bridges. John, state your question.
John Bridges: Hi, good morning, everybody. Carlos asked a lot of questions, but at least he got the big - the biggest one, which was to congratulate you, Carlos, on your retirement. And I'd like to reiterate that. Just wondered, on the reserves additions, you have increased your spending on the brownfield operations. And I just wonder if that's going to show up in improved reserves this or next quarter. And also, I was just wondering, following on, on the escalation question, if other contracts have escalators that have impacted this quarter. So, we can perhaps better estimate the commercial deductions going forward. Thank you.
Carlos Galvez: Yeah, John. Thank you for the reiteration of these good wishes. And regarding the exploration cost of brownfield exploration cost, we have introduced a program to enhance our reserves and resources. You know that normally, we have reported pretty short life of mine that we would like to extend, so we can have better and a larger life of mine that permit our investors and analysts to feel much better regarding the future of our operations. And this additional expense has impacted and is going to impact gradually our cost applicable to sales because according to our rules, we expend these exploration expenses. And yes, you're right. Regarding the escalators, what we should do, and I believe, we'll do, is to share in advance what our sales program is because, in this case, it's a material impact. There is about $200 per ton of concentrates due to the differences between the other trimming charges for these concentrates. And on the other hand, they average on the worst contract. So, we are going to do an effort in order to share this information.
John Bridges: Thanks, Carlos. If I'm still on, the - I remember the escalators were going away in the last few years, but they've popped up now in El Brocal, and they seem to still be around. Are smelters still requiring these escalators? Are these things that we need to keep in our models?
Carlos Galvez: Well, the contract I am referring to is an old one that lasts in the oil five years. And the escalators, who were not impacting our results, because the price of copper was about $4,800, so these escalators triggered once the price of copper goes high. So now that we are talking about close to $7,000 per ton. This is impacting a lot.
John Bridges: Okay. Were any zinc escalators triggered? Do you have any zinc escalators?
Carlos Galvez: Not an important one. This is a very peculiar case due to the contract was negotiated in the past, when El Brocal had very few options to sell. Now the markets have changed, and the options are wider and different.
John Bridges: Understood. Many thanks. And best of luck in your new endeavors. Thank you.
Carlos Galvez: Thank you.
Operator: [Operator Instructions] Okay. I'd like to turn the floor back to management.
Victor Esteban Gobitz Colchado: Okay. Before my closing remarks, as you know, Mr. Carlo Galvez, our CFO, has submitted to us his retirement resignation letter. Carlos has been working for Buenaventura for the last 14 years. He has been an important person. He has been part of Buenaventura's successful history. And personally, in the last 10 months, since I became part of the senior management team, Carlos has been a valuable friend and mentor. We all wish him a happy retirement. Thank you, Carlos. Well done.
Carlos Galvez: Well, it has been four years' time of challenging experience, managing some projects and working program [to and fro.] [ph] Likewise, the permanent contact with our investors and analysts was very rewarding. So, thanks to all of you. Thank you, Victor.
Victor Esteban Gobitz Colchado: And finally, thank you, everyone, for joining our call this morning. As a team, we are committed to reaching the 2017 targets, and in addition, to develop the full potential of our existing assets and to implement a disciplined process for value generation through the development of our portfolio for Greenfield projects. Thank you again, and have a great day. Sorry, we have - apparently, we have three additional questions. Sorry.
Operator: Our first question comes from Botir Sharipov with HSBC. Botir state your question.
Botir Sharipov: Hi, Victor. Hi, team. I guess, the system didn't pick up that I was waiting online, but that's fine. Thank you for taking my questions. A couple for me. One on Yanacocha. It looks like Yanacocha's mining transitional ores right now, which is impacting its operating cost. Can you maybe tell us how long the mine will be mining these transitional ores, before I assume they get into the higher-grade sulfides?
Victor Esteban Gobitz Colchado: Yeah. Here is Raúl Benavides. He was in charge of this engagement program with Newmont. He will answer your question, Botir.
Botir Sharipov: Thank you, Victor.
Raúl Benavides: Well, the first thing is that with the cater, we will extend the life of the mine with oxides that are within the normal procedure. We are finding in Yanacocha, in Chaquicocha high-grade material that could be available for treatment for treatment. Some of it may be oxide, but there are some sulfides. And of course, there's the Yana Verde deposit. We are working together with Newmont in order to refine the sulfides. There is - the area of Newmont is to generate the flotation plant in an ore cliff in order to treat these ores. So, plans are still not clear yet, so we cannot give you straight answers, but that's the direction that things are going.
Botir Sharipov: Thanks for the update. I was actually implying the current mining plan in Yanacocha. Newmont, on the call, mentioned - Gary Goldberg mentioned that, currently, the transition ores are being mined, and that's why costs went up. I was just curious, whether we're going to see this goal through 2019. Or when do they get through those transitional ores before they possibly get into the higher-grade, lower-cost ore in the next couple of years maybe?
Victor Esteban Gobitz Colchado: Yeah. It's - Botir, here is Victor Gobitz. Yeah, as part of this development, yeah, the transitional part, yeah, as you said, has a high consumption of cyanide, we expect to keep going in the coming two years with this kind of material.
Botir Sharipov: Okay, perfect. Thank you. And I guess the other question was on El Brocal expansion. Could you maybe, if you have it handy, share the timeline for the expansion of the copper circuit there? When do you expect the throughput to reach 13,000 tons per day? And how much incremental CapEx would it require maybe?
Victor Esteban Gobitz Colchado: Yeah, here is Gonzalo Eyzaguirre. He's in charge of this program. He will answer your question.
Gonzalo Eyzaguirre Tejeda: Yes, El Brocal will increase the copper production to 10,000 tons a day by the end of this year, December, and we will start processing 13,000 tons of ore a day in January. We already have [down gold] [ph] investments. Right now, we are commissioning the new crusher, the new tertiary crusher that we installed in the process plant. And we already have done the Esperanza tunnel, which is the one that will help us with this additional production. As mentioned before, we also increased our cost, because we had to develop the mine ahead of this 13,000 ton production that we will have in January.
Botir Sharipov: Perfect. Thank you so much. And I guess, lastly, again, Carlos, it was a pleasure working with you. Good luck on your retirement. And obviously, good luck to Leandro with his promotion. I look forward to working with you as well.
Carlos Galvez: Thank you, Botir.
Operator: Our next question comes from Luis Vicente with CrediCorp Capital. Luis state your question.
Luis Vicente: Hi, guys. Thanks for taking my question. Again, Carlos, my best wishes on your retirement, and thank you for all the years of work. I think most of the questions have been answered right now, but just one more thing on Quecher Main. Could you maybe give us like a breakdown on how much oxides will uphold to the gold ounces, and how much sulfides?
Victor Esteban Gobitz Colchado: Yeah. Raúl will answer your question.
Raúl Benavides: Well, Quecher Main will really generate 200,000 ounces of oxides. And it takes a couple of years to get it into production, because you need to take the overburden on top of the deposit.
Victor Esteban Gobitz Colchado: Yeah. But Quecher Main is 100% oxides.
Raúl Benavides: Yeah.
Victor Esteban Gobitz Colchado: Without any sulfide content.
Luis Vicente: Okay. Thank you.
Victor Esteban Gobitz Colchado: Okay.
Operator: Our next question comes from [Tanya Jakusconek with Deutsche Bank] [ph]. Tanya state your question.
Unidentified Analyst: Yeah. Good morning, everyone. And best of luck to you, Carlos. Just coming back to the debottlenecking program. I just want to make sure I understood the correct numbers, because it was a little bit of a static. But the cost savings through your operating costs are going to be $20 million in 2018, $23 million in 2019; and between $30 million and $40 million in 2020. Are those correct numbers?
Victor Esteban Gobitz Colchado: Yeah, Tanya, thank you for your question. Here we have the number with Gonzalo. Yeah, in every year…
Gonzalo Eyzaguirre Tejeda: $20 million, $25 million, and $30 million to $40 million in 2020.
Victor Esteban Gobitz Colchado: Yeah, in 2018 the number is around $20 million; in 2019, $25 million, and in 2020 in the order of $30 million to $40 million.
Unidentified Analyst: And that comes through the operating costs.
Victor Esteban Gobitz Colchado: Yeah, we express that in terms of more EBITDA, annual EBITDA.
Unidentified Analyst: So, this is EBITDA that you're talking about?
Victor Esteban Gobitz Colchado: Yes, yes.
Unidentified Analyst: Okay. And the number that you gave before of $60 million, what was that number?
Victor Esteban Gobitz Colchado: Yeah, because in every year, we expect to achieve - in the first year, in 2018, $20 million. In 2019, you have to add $25 million; and in the last year, in the order of $30 million to $40 million. So, I express in average.
Unidentified Analyst: Okay, so that $60 million was an aggregate number. Okay.
Victor Esteban Gobitz Colchado: Yes, yes.
Unidentified Analyst: Okay. And then the investment of $10 million to $15 million is that the upfront capital you need to do to get all of these savings?
Victor Esteban Gobitz Colchado: Yes, yes.
Unidentified Analyst: Okay, all right. Thank you. That's helpful. And then, if I can come back just to finish off on Cerro Verde. Can you just confirm for us that you have $242 million left to pay for these - you've accrued an amount, $377 million in total, less the $135 million, so $242 million left to pay?
Victor Esteban Gobitz Colchado: Yeah, the Cerro Verde case is very difficult to understand for - there are many numbers behind that, but Carlos is the key person.
Carlos Galvez: Yeah, well, Tanya, the amount that we have considered is a $376 million royalty that was the consequence of the resolution. As it was mentioned in our press release, Cerro Verde had already deposited, paid, under protest $135 million that is a mechanism that our tax authorities accept as an investment. If you win the case, the authority has to give you the money back, plus the interest that are very high, as high as those are when you do not pay the taxes. So, Cerro Verde paid this gradually until September this year. So, the remaining amount is what has to be paid, and Cerro Verde wants to reach to - is evaluating the best and the final legal solution for this case, because the desire is no continue litigating in this case.
Unidentified Analyst: Okay, so that's the $242 million?
Carlos Galvez: Yeah, well, it's what the final result is, yes.
Unidentified Analyst: Yeah, okay. And then Freeport had mentioned that they applied for a waiver of penalties and interest. When do you know if the tax authorities will grant this waiver?
Carlos Galvez: I don't know what's the final legal mechanism. That's why I mentioned a legal solution, to reach a final discussion with the authorities. I don't know what is exactly the mechanism. Freeport is in charge of money in this process.
Victor Esteban Gobitz Colchado: Yeah.
Unidentified Analyst: Okay. And then how about the - given we have this issue, how does this impact the outlook on the timing of the first dividends from Cerro Verde. Well, this is - this will depend on the final solution, which by Freeport and Cerro Verde in this case, but the cash position of Cerro Verde is good. The cash flow generation is very positive. Cerro Verde enjoys an elbow room to reach additional debt, not only because of the syndicated medium-term debt, but as you know, we're fined by $1.8 million, and has already taken only $1.5 million, plus additional credit facilities that it has contracted. So, I believe that there could be some opportunities. However, this hasn't been discussed over the work of Cerro Verde, and this is something that we have to wait for a final resolution, because I don't see Cerro Verde paying out cash dividends without completing this process.
Unidentified Analyst: Okay. And then maybe just on Yanacocha. Can you just confirm, Carlos, that at Quecher Main, you're going to be financing the capital, the capital from internal cash flows from Yanacocha?
Carlos Galvez: Well, in the case of Yanacocha, holds in excess of [$700 million] [ph]. The CapEx considered for this project is in between $250 million to $300 million. So, there is no problem to finance the CapEx to extend the life of mine, including the Quecher Main.
Victor Esteban Gobitz Colchado: It's a free-call option for Buenaventura, clearly.
Unidentified Analyst: Okay, and then maybe on San Gabriel, we haven't heard an update on that one, but maybe what the progress is there. And the last things we had heard on it was $400 million to $500 million to build CapEx, 2.5 years, 200,000 ounces to 250,000 ounces of production. Is that still something that's reasonable or where are we on this and what are we looking for timing?
Victor Esteban Gobitz Colchado: Yeah, thank you for that question, Tanya. Here is Raúl Benavides. He has a lot of information regarding the technical part and the social part of this project.
Unidentified Analyst: Okay. Hi, hi, Raúl.
Raúl Benavides: Hi, Tanya. Well, the San Gabriel project, as you know, it has already an approved environmental impact study. But we are reviewing all our project process. As you remember, from Victor's last presentation, we are doing the projects as with methodology, a new methodology. And what essentially, we're doing is a GAAP analysis. So, San Gabriel is advanced. The figures that you have mentioned are about correct. It's the last we have, but the idea would be, in this following year, to fill the gaps in order to be able to present a feasibility study. And with that, we can give final figures.
Unidentified Analyst: And, Raúl, when is the feasibility study going to be available to the board and for the market?
Raúl Benavides: That will be next year. But again, Tanya, take it with a bit of salt, because we are working on this new way of approaching projects. And we are targeting a date, but we cannot ensure a date.
Victor Esteban Gobitz Colchado: Let me add that for Buenaventura point of view, by far, the most profitable business case is to invest in our debottlenecking program.
Unidentified Analyst: Okay, so probably if you do have a feasibility study on it, it would be in the latter part of 2018?
Victor Esteban Gobitz Colchado: Yeah.
Raúl Benavides: Yeah.
Unidentified Analyst: Okay, okay. Thank you very much.
Raúl Benavides: You are welcome.
Victor Esteban Gobitz Colchado: Thank you.
Operator: There appears to be no further question. I'll turn it back over to management.
Victor Esteban Gobitz Colchado: Okay. Thank you again and have a great day.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time and have a great day.